Operator: Good day, everyone and welcome to the Wireless Ronin 2009 fourth quarter earnings conference call. Today’s call is being recorded. At this time, I would like to turn the call over to Linda Hofflander. Please go ahead.
Linda Hofflander: Thank you and welcome everyone to our 2009 fourth quarter and full-year conference call. With me today are James C. Granger (Jim), President and Chief Executive Officer; Darin McAreavey, Vice President and Chief Financial Officer; and Scott Koller, Executive Vice President and Chief Operating Officer. After Jim's opening remarks, Darin's detailed financial review, and Scott's update on operational aspects of our business, we will open up the call to your questions. Before we begin, please note that the information presented and discussed today includes forward-looking statements, which are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainty to our forward-looking statements. Risk and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, include those set forth in the cautionary statement section of the quarterly report on Form 10-Q we filed on November 9th, 2009. In addition, our comments may contain certain non-GAAP financial measures, including non-GAAP operating loss per share. For additional information, including a reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provide useful information, and why we use non-GAAP measures, please see the reconciliation section of our press release, which appears on our website at www.wirelessronin.com. Now, I'd like to turn the call over to Jim, who will discuss our fourth quarter and full year results. Jim?
James Granger: Thank you, Linda. Good afternoon, everyone and thanks for joining us on today's call. As we look back over the past year, 2009 was a significant challenge as most of our customers were dealing with the very constrained capital budgets during the economic downturn. As an example, according to the National Restaurant Association, capital expenditure for the U.S. restaurant industry continued to drop during 2009. Only 31% of operators said they made a capital expenditure for equipment, expansion or remodeling during the last three months of 2009, making this the lowest level on record. As a result, our customers were unwilling to commit capital dollars to large-scale digital signage deployments during that time. The lack of customer adoption of digital signage is an industry-wide issue and not just specific to Wireless Ronin. We see companies across many vertical markets holding off on committing capital dollars to equipment, expansion or remodeling and this affects our entire industry. While there are signs that the economic slide may have reached a bottom, it is uncertain when we will start to feel the effects of the potential turnaround. We are certain, however, that we are prepared as a company for the eventual turnaround. There is real growth potential for Wireless Ronin, as well as the digital signage industry and we believe that we are well positioned for this growth. We used 2009 to work on elements within the company which we feel we could control because the poor economic climate and its effects on WRT were, in many respects, out of our control. We knew we had to focus on operational execution to position ourselves for 2010 and beyond. And so in 2009, we laid the groundwork by one, significantly reducing our operating costs and quarterly cash burn, which we cut in half from 2008 to 2009. We engaged new clients and expanded our customer base. We shifted our sales strategy to concentrate on selling higher-margin offerings to improve our gross margin percentage, which in fact rose from 12% in the fourth quarter of 2008 to over 37% in the fourth quarter of 2009. We greatly increased our recovering revenue base, which actually grew fivefold from January to December of 2009. And most importantly, we strengthened our balance sheet by raising $6.9 million in a registered, direct stock offering. And now in March, we secured the availability of a $2.5 million line of credit with Silicon Valley Bank, giving us $12.7 million of cash and zero debt at the end of 2009. So hopefully, this gives you a sense for the steps that we have taken to position our company for growth when capital spending picks up again. With these improvements, we feel we have built an even stronger foundation. We have executed against our strategy to create a more efficient operating platform and have set the stage for the future. With that, I would now like to call – to turn the call over to Darin for a closer look at our fourth quarter and full year 2009 results. Darin?
Darin McAreavey: Thanks, Jim and good afternoon. Today, we announced our fourth quarter revenue totaled approximately $1.5 million compared to $1.9 million for the same quarter in the prior year. As of December 31st, 2009, we received purchase orders totaling approximately $1.1 million for which we have not recognized revenue, including one from Chrysler I'll discuss in further detail. Although our revenues in the fourth quarter 2009 declined 19% when compared to the same period in the prior year, sales of our proprietary RoninCast software were actually up 47%. During the fourth quarter, we received and recognized revenue on a purchase order totaling $443,000 from a major food service provider of which $114,000 was for our RoninCast software. In addition, we received a purchase order from Chrysler for approximately $500,000 related to further enhancements for the iShowroom web-based system, which was launched to all the dealers in the fourth quarter of 2009. We expect to recognize revenue on these enhancements as they are delivered over the first half of 2010. We are – as we finished up 2009, we were encouraged to see early signs from our customers that they move forward in deploying mission-critical digital signage solutions later in 2010. However, due to the lengthy sales cycle and the unpredictability around timing of when our customers and prospects will move to a large-scale rollout, we are still not in a position to accurately forecast when we expect to see a significant increase in our revenues. Revenues for 2009 totaled $5 million compared to $7.4 million in the prior year period. The primary reason for the year-over-year decline was due to certain customers choosing to directly source displays and media players and lower revenue generated with Chrysler and BBDO Detroit, an advertising agent for Chrysler. Although our revenue declined year-over-year, our gross margin dollars were up significantly when compared to the prior year, going from $800,000 to $1.4 million. Also, our gross margins on a percentage basis expanded from 12% in the fourth quarter of 2008 to 37% in the fourth quarter of 2009. This was a result of us continuing to focus on the higher-margin sales, which include our RoninCast proprietary software and our value-added services of software development, customer content creation, and our 24/7 network hosting. On a GAAP basis, our fourth quarter 2009 net loss totaled $2.2 million or $0.13 per basic and diluted share compared to a net loss of $6.9 million or $0.47 per basic and diluted share for the same period a year ago and down from our net loss of $2.5 million or $0.17 per basic and diluted share in the third quarter of 2009. The decrease in our net loss from the year-ago quarter was primarily attributable to the reduction in employee compensation and related expenditures that resulted from the workforce reduction initiatives taken during the fourth quarter of 2008 and other general cost cutting initiatives primarily implemented during the first half of 2009. In addition, during the fourth quarter of 2008, we recorded impairment charges totaling $3 million related to network equipment held for sale and also the intangible assets acquired in the McGill acquisition. Including the $3 million impairment charges, our operating costs have come down $10.4 million or 47% when comparing the full year of 2009 to 2008. Our operating costs include maintaining a highly skilled product development team who are continuously focused on enhancing our RoninCast software and also the cost associated with providing a fully supported 24/7 Network Operations Center. Finally, we are also faced with the costs associated with being a public company. Excluding one-time expenses and non-cash charges, the fourth quarter 2009 non-GAAP operating loss totaled $1.7 million or $0.10 per basic and diluted share versus a non-GAAP operating loss of $2.8 million or $0.19 per basic and diluted share in the fourth quarter of 2008. This represents a 40% improvement to our non-GAAP loss and leads us to believe that as our margin dollars expand, we should be able to continue to make incremental gains and further reducing our operating losses as we've proven the business has the ability to scale. Sequentially, our non-GAAP operating loss improved approximately $400,000 or $0.04 per basic and diluted share. Our non-GAAP operating loss for 2009 totaled $8.3 million or $0.54 per basic and diluted share versus a non-GAAP operating loss of $14.6 million or $1 per basic and diluted share for the same period in the prior year. Gross margin for the fourth quarter 2009 was approximately 37% as compared to 12% in the year-ago period and up from 34% in the third quarter of 2009. The improvement on a sequential basis was due to a larger percent of our revenues coming from our sales of our RoninCast software, favorable hardware margins, and achieving our first profitable quarter for our NOC. Our recurring revenue has increased fivefold from January to December of 2009 and as we enter into 2010, our recurring revenue is currently on an annual run rate of $1.2 million and growing. We believe we will be able to expand our hosting gross margin as the base continues to grow in 2010. The fourth quarter of 2009 now represents the sixth consecutive quarter of improving gross margins on a percentage basis. Our focus will continue to be on expanding our overall gross margin in 2010 as we continue to place a greater emphasis on our higher-margin offerings. Total operating costs for the fourth quarter of 2009 were $2.7 million, down from $7.2 million in the fourth quarter of 2008 and down approximately $100,000 from the previous quarter. For 2009, our total operating costs were $11.7 million compared to $22.1 million the prior year. The decreases were again due to reduction of both employee compensation and related expenses from the workforce reductions taken in the fourth quarter of 2008 and other cost reductions implemented primarily during the first half of 2009. In addition, during 2008, we recorded impairment charges totaling $3 million as previously mentioned. Included in 2009 and 2008 were severance charges of approximately $400,000 and $1 million respectively. The remaining severance liability as of December 31st, 2009 was less than $50,000. Included in today's earnings release and financial results is a reconciliation between the GAAP and non-GAAP operating loss. This highlights one way in which we look at profitability and cash utilization for the company. It is similar to EBITDA, but adjusted for certain other one-time and non-cash items. This supplementary schedule details the items and effects of non-cash and one-time adjustments and shows the trend and reduced cost improvements in our non-GAAP operating loss for the quarter. Turning to the balance sheet, at the end of the fourth quarter of 2009, cash and cash equivalents in combination with restricted cash totaled approximately $12.7 million compared to $7.5 million at the end of September 2009 and $14 million at the end of 2008. During the fourth quarter, we completed the sale of 2.6 million shares of our common stock at $2.90 per share pursuant to our registration statement on Form S-3, which was declared effective by the SEC in September of 2009. We obtained approximately $6.9 million in net proceeds as a result of this registered direct offering. Also in March of this year, we entered into a loan and security agreement with Silicon Valley Bank to make available a line of credit up to $2.5 million. All else remaining equal, we believe our year-end cash balance and access to capital is sufficient to support our operations well into 2011. Excluding the net proceeds from the capital raise, our cash burn for the fourth quarter was $1.8 million, which was down sequentially from $2.3 million for the third quarter of 2009 and down from $3.9 million when compared to the same period in the prior year. We believe our ability to further improvement – improve our quarterly cash burn will largely depend on achieving higher sales and gross margins in 2010. Finally, I would like to summarize the financial results for the quarter and the year as follows. We saw a sixth consecutive quarter of gross margin percentage improvement, we achieved significant growth in our recurring revenue base, we continue to reduce our operating costs, and made our operating model more efficient. We saw an improvement in our non-GAAP operating loss in the second half of the year, we made significant improvements on our cash burn, and we ended the year with sufficient capital base to fund our company into the future. Now, I'd like to turn the call over to Scott Koller before we open the call to your questions.
Scott Koller: Thanks, Darin. As previously mentioned, 2009 proved to be a difficult year for our industry. We believe that the slowdown in the 2009 – slowdown in 2009 is not indicative for the long-term growth potential yet to be realized in digital signage industry and at Wireless Ronin. In addition, we hope that the 2010 may bring an increase in digital signage adoption rates, specifically in our key verticals of food service, automotive, and branded retail. So let me update you on some of the developments in our key vertical markets. Activity in the food service industry continues to grow. Several large QSR and fast-casual companies are in advanced stages of testing digital signage in a variety of different formats including menu boards, promotions, and entertainment. Our relationship at KFC continues to be very strong. Currently, there are 156 KFC restaurants installed with digital menu boards and promotion. In addition, we currently have line of sight to over 40 new store installations. Earlier this year, we attended the KFC Franchise Show and continue to see a strong response from the franchisee community. KFC has indicated that their initiative would be to have all corporate stores at approximately 800 locations converted to digital in conjunction with their commitment to have calorie information displayed on all corporate stores by January 2011. We are hopeful that we will continue to see a steady stream of installs from KFC and that the corporate store rollout is solidified. Our hard work at KFC is starting to pay additional dividends at Yum! With our partner NEC, we have installed our first 10 locations with Taco Bell. These locations are Taco Bell plus KFC combo stores and this earmarks our first work directly with Taco Bell and we are clearly excited to grow this relationship. We continue to be active with other QSR beyond KFC and Taco Bell and although we are not at liberty to talk about our test initiatives with other QSR clients, we can say that Wireless Ronin has been able to successfully navigate to several large RFPs and we are currently engaged at test with several different restaurant chains. We believe this hard work we have put in during 2009 will yield positive results sometime in 2010. Our work with the food service industry is also highlighted by our relationship with ARAMARK. ARAMARK's digital signage initiatives continue to gain momentum. We currently have 23 locations installed with an additional three locations to be installed within the next few weeks. Our efforts this year with ARAMARK was recently recognized with both an Apex and Content award at this year's Digital Signage Expo. Wireless Ronin and ARAMARK received a Silver Apex award in hospitality categories for the overall network, powered by the RoninCast digital signage software and a new ARAMARK campus dining brand, Burger Studio, was recognized for "Best Product Content" for its use of innovative and compelling interactive content created for its ordering kiosks which allows customers to "Build Your Own Burger." It's rewarding for our team to see that our continued innovation and hard work are recognized by the industry at this key event. As you know, 2009 was a very difficult year for the automotive industry, which in turn directly impacted WRT, but we believe that the automotive industry – as the automotive industry recovers, the digital signage will advance too. With overall vehicle sales in North America on the rise in 2010, there is early indication that digital signage activity in automotive is also starting to gain momentum. Our attendance at the National Automotive Dealer Conference in January confirmed that manufacturers and dealers are ready to start thinking strategically again about new ways to enhance their market share and reduce overall operating expenditures to advance technologies. Our activity with Chrysler in particular is a good example. As previously mentioned, our work with Chrysler took a significant hit in 2009. In November of 2009, Chrysler officially launched iShowroom to its newly restructured dealer body. The content in iShowroom integrates with multiple Chrysler data services to provide real-time features and benefits and presentations, which allow customers to identify their preferences by the compiling – by compiling a personalized wish list and presents vehicles in a dealer inventory that best match those customer preferences. The content engineering in support of iShowroom is completely funded by Chrysler to monthly reoccurring fees. For dealers wishing to place iShowroom – place iShowroom kiosk in their facilities, the hardware and installation are available starting in 2010 through a purchase of all these programs. A real differentiator bisecting Wireless Ronin for this program lies with the RoninCast for automotive digital signage platform and abilities for all digital signage content to be multi-purpose to a browser-based desktop application. Chrysler makes available this desktop version of iShowroom at no charge to all 2,300 U.S. dealers, which serves as an ongoing promotion to dealers of all digital signage options. Since the launch of iShowroom in November, many stakeholders at Chrysler have identified opportunities to expand the scope of this program to further expand its reach into the mission-critical retail sales process. Outside of iShowroom and our interactive initiatives in automotive, we have begun to see some serious interest for digital signage applications in the service area. From our QSR menu board program, dealers are finding a need to have real-time service information available for their customers. We are optimistic that this interest, as well as the continuing interest in interactive applications will help fuel our growth in the automotive sector. Chrysler and Wireless Ronin continue to work together to maximize the iShowroom footprint with the Chrysler dealer network. This case study demonstrates the power of RoninCast for automotive to the rest of the automotive industry, which we continue to see interest in the form of market tests and pilots. I also wanted to take a moment to update you on the work with Thomson Reuters. Thomson Reuters continues to be a highly valued client of Wireless Ronin. We have over 280 InfoPoint locations installed in 42 countries, 14 additional locations, which we install in the next two to four weeks. We are in our third year of the InfoPoint project and although we continue to see a steady (inaudible) new locations in 2009, we hope to see this activity ramp up during 2010. We believe that the Wireless Ronin sales and marketing initiatives will continue to position our company for growth in 2010. As mentioned in my opening comments, although 2009 was slow for the industry, we had successfully navigated through several large RFPs and significantly improved our competitive position within the industry. With a cooperative economy, which has the potential to improve capital spending, we hope to see digital signage adoption and large-scale rollouts regain momentum in 2010. Although a lot of our discussions revolve around and sales and marketing activity, I want to take some time to update you on the operational side of our business. It is important to position ourselves to take advantage of a better economy not only from a sales perspective, but also from an operational standpoint, which we heavily focused on during 2009. Our Network Operations Center or NOC and our technical services group continue to be the backbone of our organization. With 24/7, 365 operation, our NOC proactively supports our clients with immediate response to address any current and/or potential issues with their digital signage network. Our hosting services resulted in a network uptime rate exceeding 98% in 2009. Our footprint tracking system helps record and measure important key performance indicators or KPIs that help us fuel our continuous improvement program. Two examples of KPIs are first call response rates and network uptime. Our project management group is responsible not only for getting our clients hardware and software installed, they also work very hard on assuring our projects are profitable. In the fourth quarter of 2009, our estimated versus actual gross margin on inflations was off less than 1%. As Darin indicated, the result is at our sixth consecutive of gross profit margin improvement. This improvement is a result of cohesive sales and project management team working together to ensure that our clients' expectations are met and our profit margin targets are realized. Content engineering continues to be a strong differentiator for Wireless Ronin and is the solid platform for demonstrating relevance and a true return on investment for our clients. The majority of our clients rely heavily on the design and development skills of our content engineering group to manage everything from screen design to asset creation to complex data integration. During 2009, this highly scalable organization has further refined its skill and technique to ensure both content and internal development content is effective, efficient in meeting our clients' business objectives. Each of our support groups and operations including our NOC, technical services group, project management, and content engineering are currently working on programs that will allow our company to scale our resources efficiently, cost effectively on our sales activity growth. In closing, it's important to recap the significance of our teams working together. There is no doubt that growing both our projects and our recurring revenue streams with rollouts of new client adoption is the most critical test that faces Wireless Ronin. Ensuring that we have the capability in our support groups to effectively meet clients' expectations cannot be overlooked. We feel that we put in place (inaudible) that is efficient and can be effectively scaled when required. This concludes our prepared remarks. And now, I'd like to open up the call to you for questions.
Operator: Thank you. (Operator Instructions) Our first question will come from Jim Goss with Barrington Research.
Jim Goss – Barrington Research: Thank you. I've got a couple. Maybe for a starting point from broader bird's eye view, do you have an internal target as to a breakeven point as defined what your GAAP financials would hit this earmark and – ?
Darin McAreavey: Yes, Jim – this is Darin, I'm going to respond to that. I mean, we've done some internal modeling. I mean, it obviously comes down to mix for us where there are cases that we are sourcing display and media players directly, but we've come up with about $5 million to $5.5 million breakeven point.
Jim Goss – Barrington Research: Okay. Do you – ?
Darin McAreavey: Quarterly number.
Jim Goss – Barrington Research: And do you – ?
Darin McAreavey: Our revenue – go ahead.
Jim Goss – Barrington Research: And your ability, your – the time frame over which you get that point is what?
Darin McAreavey: I mean, our internal plan is that we would hit that sometime in 2010.
Jim Goss – Barrington Research: Okay. You made a comment to – with KFC. There were – the intent right now is that of the 800 corporate store base would have the digital signage – your digital signage project rolled out by January 2011, I'm wondering if you could characterize that rollout. How that would take place pace-wise? And then also talk about the other issue you raised, which is last year was a very tough year to get franchisees to open up their wallets when they were beleaguered on all fronts. And since we are seeing at least some signs of return, at what point do you expect there might be some greater inclination for the franchisees to try to participate?
James Granger: Let me direct that question to Scott. As you may be able to tell from the voices, Scott Koller is out of the building today and taking this call remotely, but let me have Scott go ahead and respond to that question to you – for you, Jim.
Jim Goss – Barrington Research: Thanks, Jim.
Scott Koller: Thanks for the question, Jim. The KFC Franchise Show, marketing and KFC Corporate were in the booth telling the story to the franchisees were that they are going to hold true. As of today, they are holding true to their corporate initiative to have calorie information on all corporate stores by the end of the year. This is a very difficult task without digital for Kentucky Fried Chicken particularly. So the word in the booth was that our plan is to have the 800 stores installed and we would like to see as many franchisees participate in that as possible. With that said, we still don't have any really line of sight to when that would start and when that would end. We were very encouraged when recent information came out this week about Panera Bread committing to calorie information that Yum! responded that they were still holding true to their commitment to have calorie information on those menu boards by the end of the year. So although we don't have line of sight of when that would start and when that would stop, it's not a significant rollout of 800 stores. As far as the task itself, it could be done in a rather rapid time and it really depends on when KFC wants to start that. The 40 stores I mentioned are two more markets that will be done in a pretty quick time frame coming up and then we would have to wait and see if the plans still roll out – if and when the plans for the corporate rollout are solidified. With that –
James Granger: Yes, Jim, if I could just – Scott, could I interrupt just so that Jim gets the full color on this? As they have been rolling out the corporates or – they have been actually rolling out city by city. As many people know, we've already done one city this year. We have two more cities that we are – got of line of [ph] sight to. In those cities, we are rolling out to both corporate and franchise locations. So just so you understand, the 800 is the franchise – is the corporate stores, which they have – they say that they are committed to by the end of the year. The – but as they roll out city by city, it includes both corporate and franchise stores. Just – that's a little clarification, I think it's important –
Jim Goss – Barrington Research: Yes, that's an important one because it's probably about a 80/20 mix in franchise versus company-owned, isn't it?
James Granger: Exactly.
Scott Koller: Exactly.
Jim Goss – Barrington Research: And as the out-of-pocket for the franchisee now fairly low given the nature of technology driving downstream costs, so that it's not quite the burden and they don't have other things on their plates quite as much.
Scott Koller: I would say it's not quite the burden. I mean, it's still an expenditure to put that in. But I think that the team of KFC has put together a very significant ROI story that really makes sense over a five-year time frame. So I think there is a lot of compelling reasons for digital menu boards. And you are correct, the decrease – the continued decrease of the hardware expenditure has helped that ROI story.
Jim Goss – Barrington Research: Okay. Thanks, Scott and Jim.
Scott Koller: You are welcome.
Operator: And we will take our next question from Jay Meier from Feltl and Company.
Jay Meier – Feltl and Company: Thanks. I have a series of questions. Just broadly, it seems to me that your visibility has actually deteriorated since your last quarterly update. Is that a fair characterization? I mean, we are talking about 22,000 stores you were bidding on and screens, et cetera. You are not giving those characterizations today. Is it fair to say that your visibility has actually eroded since then?
Darin McAreavey: No. I mean, I would actually say that counts up. So no I don't think that it's eroded. I mean, we are obviously involved in multi, very large RFP, RFI opportunities and around predictability in terms of if and when we are going to win, I mean, when the timing around when a large scale would commence. It's almost impossible for us to predict Jay, and I mean, you've been following the story and should be not anything new to you. So I don't think anything – the business has changed from last quarter.
James Granger: And I think the important thing is in fact you are right. The number of stores or opportunities that are out there that we are working with in either or pilot or proposal or test phase has actually increased over that 22,000.
Jay Meier – Feltl and Company: Okay. And have you bid on any or participated in the RFP process? You continue to say successfully navigated through RFP process. I'd like to know what that means and specifically, have you lost any RFP awards? Did competitors win?
James Granger: Jay, the – on a – on any specific case, we are obviously under non-disclosure and I cannot comment directly on a specific case, either a win or a loss until I have authorization and/or no longer under a non-disclosure. So I can't speak to any specific cases and would – I can just tell you that we have successfully navigated, as Scott has mentioned, a number of very important and key opportunities and we continue to be engaged with those key opportunities going forward.
Jay Meier – Feltl and Company: Okay. So let me take a crack at that from another direction. You've successfully navigated a number of very large RFP opportunities and you remain engaged on those opportunities. Are there any of those large opportunities that you are no longer engaged in?
James Granger: Again, I cannot speak to any specific case and would not. I can tell you that these are continuing opportunities, they have a myriad of contingencies, but as we – but we obviously are under very strict non-disclosure, number one. And number two, if there was a material event; you would be the first to hear about it.
Jay Meier – Feltl and Company: Okay. Well, then let's hopefully get to something that you can talk about. Why don't you give us an update on NEC and VUKUNET?
James Granger: As far as NEC and VUKUNET, they have successfully, as we understand, deployed a beta of that operation. It's highly dependent upon advertisers. We have no more specific understanding – any in more specific line of sight, but I would tell you we have a very wonderful relationship with NEC that continues across a whole myriad of operation.
Jay Meier – Feltl and Company: Okay. And if I understand it correctly, you have direct visibility today of $1.2 million in annual – annualized recurring revenue from the NOC and today, $1.1 million in purchase orders that remain to be filled.
Darin McAreavey: At the end of December 31st, 2009, we had $1.1 million of POs in hand we had not taken revenue on. And yes, we exited the year on a $1.2 million annual run rate in our NOC.
Jay Meier – Feltl and Company: Okay. And have those levels materially changed? I mean, since that time, can you comment at all about trends since the end of December as we are at the end of March?
Darin McAreavey: Well, we will be releasing our – we've – we are coming up on an end of the quarter here and then we will be releasing that information in May. So I'm not – I can't comment on the first quarter results at this point, Jay, but –
Jay Meier – Feltl and Company: Okay. And one last question. You've talked about the $2.5 million line of credit. Did you draw on that line of credit at all?
Darin McAreavey: No, we just set it in place. Really with set in place that wouldn't be a – penalize us if we didn’t draw down on it, but we wanted to get in place. So when we do land one of these large-scale projects we have and there is going to be a situation we would have to go out and procure the hardware that we have banker and sitting at our back here to financially finance this for us.
James Granger: Yes, we think that's a real advantage because we as we found even at the end of last year, some of the continuing business that we are doing, even though we are focused on the higher-margin software and services, there still are opportunities that we are working on and that have large-scale purchases of hardware and having that in place we think is really prudent because it allows us not to have to draw down on our cash.
Jay Meier – Feltl and Company: Okay. All right, thank you.
Darin McAreavey: Thanks, Jay.
Scott Koller: Thanks, Jay.
Operator: We will take our next question from Arthur Friedman with Friedman Asset Management.
Arthur Friedman – Friedman Asset Management: Yes, hi. Excuse my voice here, I'm a little hoarse. Yes, I have several questions also. The first one, I want to go back to the McGill acquisition. So I wanted to – my questions really are about getting some clarity on a number of issues that the other people were also trying to inquire on. The first one is McGill. When the company first acquired McGill, they were very, very excited about it. So could you give us some color as to exactly why there was an impairment? What exactly was impaired?
Darin McAreavey: Well, it really had to do – this is Darin and I'll respond to that. I mean, back in the fourth quarter, it predates me, but my understanding was that that had to go through the process of looking at the future expected cash flows to be generated from that entity and based on that analysis, they couldn’t support the carrying basis of that intangible asset that they had on their books – put on their books at the time of the acquisition. So at that point, it was really an accounting exercise to write off that intangible asset unfortunately.
Arthur Friedman – Friedman Asset Management: Okay. So it's not a cash charge per se?
Darin McAreavey: Non-cash charge.
Arthur Friedman – Friedman Asset Management: Non-cash charge? Okay, okay. So that clarifies that. Now, the second thing is in regards to the KFC, and we are talking about the 800 stores going digital, are they going digital with you? In other words, do you have an actual contract yet? I've never understood that because for a long time your predecessor talked about the pilots come and the pilots come and then they have the – then you had the pilot, but I've never understood if you have the contract.
James Granger: Well, let me make it – we certainly have quoted a contract between ourselves and KFC. The contract allows them to draw down on – and order specific cities. Is KFC doing anything with anybody else? The answer is absolutely not and in fact, last quarter, if you were on the call, we announced the large order that they gave us for the development of a very sophisticated web portal, which allows for control by both – by all parties, the franchisees, the store manager and the owner of the brand, KFC themselves, to operate. And that was an order for almost $300,000 for the development of a web portal, which will allow them to manage all 5,400 stores eventually. So the answer to your question is, is that we are successfully deploying at this point. We just don't have – we just haven't had a recent purchase order for – well, we've had recent purchase orders for a number of stores. We did, I guess, I said a city already this year and we have line of sight to two cities here and that's the way they are rolling it out. So we do have a contract, yes, and we are rolling now against that contrast.
Arthur Friedman – Friedman Asset Management: Okay, because I think what confuses me and I think other people that I've met before on this call – and I apologize, I haven't – wasn't on the last quarter's call, I had a scheduling conflict, but I'm still puzzled by, with all these great clients, Chrysler, KFC, Reuters and I guess several others, when it comes down to it, the revenue for the quarter is still $1.5 million or $1.537 million.
James Granger: I think I –
Arthur Friedman – Friedman Asset Management: It's not a lot of revenue coming in still and I guess it's a concern. How we are going to get back to $5 million to $5.5 million for breakeven?
James Granger: Yes. Obviously, it is still – I mean, obviously that's what I tried to address in my conversation here. The capital constraints and again, the capital constraint of last year was enormous. Nobody – as I mentioned, it was the lowest level of capital expenditure for the restaurant industry on record and that – there has to be a freeing up of capital resources for them to make these investments. What we've tried to do is make sure that we sized the company; we believe that we have sized the company and continue to size the company to make sure that we can be profitable at – as we move forward. But these large rollouts need to take place. They eventually will take place, we just have to be here and be strong and the most important thing and I think it's really worth, we have to be in a position where we are – the – as we were with KFC a couple of years and as we are with others where we are the preferred vendor because we provide the – we start out with pilots, we start out with trials, and then we win RFPs and the rollouts come and then hopefully they come with us. But to say that we are always – expecting this industry to move forward, it's not just Wireless Ronin, it's the entire industry.
Arthur Friedman – Friedman Asset Management: Right, right. What about the – you had the success with the sports arena. Is there any possibility of cloning that effort into the other teams?
James Granger: Yes, absolutely. We are in fact bidding on a number of significant – and by the way, there was the arena – I want to make sure everybody understand. That arena was menu boards and it was serving the Levy restaurant – Levy Brothers Restaurants that we are – that are managing that. There are a number of other opportunities like that and we are engaged in a number of RFPs in that same space.
Arthur Friedman – Friedman Asset Management: Okay. Okay. Well, good luck. We are still rooting for you. I just wanted to make sure I understood the situation really clearly.
James Granger: Yes. And I think of the KFC win as a great one. It's by staying engaged, by providing quality support, quality service, quality software, it's not – again, it's not like KFC's (inaudible). And I think it's really and you would – and I expect somebody to say, hey, congratulations, because we've moved beyond KFC within Yum! brands into the Taco Bell, which has – Scott, how many total Taco Bell restaurants are there out there?
Scott Koller: Well above – probably equal to KFC.
James Granger: Yes.
Scott Koller: I just don't have the exact number. But within 20% plus or minus of KFC.
James Granger: So – and now –
Arthur Friedman – Friedman Asset Management: Well, thank you very much. I wanted to make one last comment. My understanding from about a year ago, because I used to be on all these calls with your company, but the NOC is pretty much – after that last upgrade, you are pretty much set with the NOC, right? It's a state-of-the-art facility and it can handle all the – any upgrade in traffic, correct?
James Granger: Absolutely. And what – again, I think while we didn’t – while we would like to see the revenues higher, I don't know whether it's sunk in for everybody, but we increased the recurring revenues during last year fivefold and as Darin reported in his report, the NOC is profitable at this revenue level and grow – and it's growing. But we increased the revenues in the Network Operations Center's recurring revenues fivefold in one year. So the model scales, the model – we've shown that the model has gross margins that make it very successful and what we need to do is a strong and win and continue to be there as this industry develops.
Arthur Friedman – Friedman Asset Management: Okay. Well, thank you very much. I'll let some other people ask some questions here.
Darin McAreavey: Thank you.
Operator: (Operator Instructions) We will hear next from Geoffrey Robinson [ph].
Geoffrey Robinson: My question had to do with the NEC relationship, which wasn't addressed in your primary presentation but apparently has been discussed now. So thank you.
James Granger: No problem. Thank you.
Operator: We will take a follow-up with Jay Meier with Feltl and Company.
Jay Meier – Feltl and Company: Great, thanks. Regarding the Taco Bell movement, is there a solicitation RFP associated with that or is that just a clean move from KFC for you with no one else bugging you?
James Granger: The – that's the way – your second characterization, I don't know if I would use those exact words, but sounds good. But Scott, would you want to add anything?
Scott Koller: Absolutely, Jay. It was a migration of Taco Bell watching our activity at KFC, approaching NEC and ourselves and saying, we would like to go down this path and they did not go to a process, an RFP and RFI process. We were just simply chosen based on our history and success with KFC.
Jay Meier – Feltl and Company: And that is with corporate and not franchises?
Scott Koller: Yes, sir.
Jay Meier – Feltl and Company: Do you anticipate an RFP in the future from Taco Bell?
Scott Koller: We haven't been given line of sight to an RFP. We hope that these are installed, they continue to run well and that we can circumvent that system, but we understand as well the client needs to go through that based on the significance of the order, we understand. It would not surprise us if they went through that, but at this point in time, we've been given no light of sight to have been going down that process.
Jay Meier – Feltl and Company: Okay, that's fine. and we will hope it stays that way. As far as – Darin, you made some comments earlier about the breakeven level $20 million to $22 million in annualized revenue or $5 million to $5.5 million quarterly. And you also, I believe, said that you – your internal plans anticipate hitting that run rate some time in 2010. Can you confirm that?
Darin McAreavey: Yes.
Jay Meier – Feltl and Company: Okay. Do you anticipate more than one quarter at $5 million plus?
Darin McAreavey: You are putting me on the spot, Jay.
Jay Meier – Feltl and Company: Yes, I am putting you on the spot.
James Granger: We haven't been giving that kind of detailed guidance. Our – that's our internal plan and certainly with the significant rollout that could happen in one quarter and then drop back for a quarter and then go back to another one in the following quarter. And so as the industry grows, we would – we feel like we could respond to it. But our internal plan and what we have focused on is having that happen during this year.
Jay Meier – Feltl and Company: Okay. All right, thanks.
Darin McAreavey: Thank you, Jay.
Operator: And we will go ahead and take another follow-up from Jim Goss with Barrington Research.
Jim Goss – Barrington Research: Thanks. As I look at the revenue mix between hardware, software and services and other, and I know, Jim, you were just talking about the recurring revenue, but there was a little bit bigger skew toward hardware than I was expecting. Could you talk about that?
Darin McAreavey: Well, we got – yes, we received the one order I highlighted in my comments, Jim from the – that major food service provider. But overall, it was a very favorable margin deal for us. You can see our hardware margins were pretty favorable and that was really driven by that large deal we received in the fourth quarter.
Jim Goss – Barrington Research: Okay. And you probably did not mean to imply this, but if, to the extent there was an 80-20 mix of franchise versus company-owned stores in KFC and other fast food chains, if you are doing a city-by-city rollout and you are expecting to get the 800 company-owned stores online by early next year, that would imply 4,000 stores in total if all of the franchise stores came along. You didn't really mean to suggest that that would take place, did you?
James Granger: I – no, I did not mean to make that suggestion, but I can tell you that KFC likes to see it go city by city. All they can to – all they can of course speak to directly is their corporate stores.
Jim Goss – Barrington Research: And when you go through that process, and I – I don't know, just following one of the fast food chains in the past, I know that there are certain things corporate can tell the franchisees to do and certain things they can't. And I'm just wondering how much say the headquarters has over the franchisees in this regard and how does that relationship tend to work now that you've had a lot of experience with this particular one?
James Granger: Scott, you want to turn and talk about it, because the cities – it's been – they have – they sure make them very successful with the city-by-city approach.
Scott Koller: Yes. Jim, it's been a – it really depends on the restaurant chain you are dealing with. Some restaurant chains absolutely have much more authority over what the franchises do or not do. I can't tell you the supporting two systems, i.e. rolling out digital signage and corporate and maintain a digital signage program with the web portal and then maintaining a print program among franchises isn’t an advantageous position for our clients. So ideally, they would like to see mandated, which is the process they go through to get it mandated to go out. An example of that would be the grilled chicken with KFC. They've really, really had a desire to have grilled chicken items in each of those restaurants. They had committed to corporate and then they put together financing packages, which made sense for the franchisees to make that a mandate. So it really depends by restaurant chain and it really depends on where it stands on its list and where it stands in priority. I will tell you that calorie information is a major priority for each of these restaurant chains and a very complicated task to do without digital. So I would think it was very high on the priority list and so, depending on the restaurant chain, there is really a lot of influence on what they do in the franchisee or there is less. But I will tell you that it is really a burden on the company to maintain a print and digital signage program simultaneously. So if they continue to all corporate, I believe their goal would be to get the franchisees participate.
Jim Goss – Barrington Research: And was grilled chick a bit of your undoing last year, in effect, with KFC?
Scott Koller: I don't want to say it's undoing, because it was successful for my client. They had to set a priority in giving a new food product out there, which was a very big priority for them and we supported that. But yes, dollars were spent in one area and other. I think I'll leave it at that.
Jim Goss – Barrington Research: Okay. And just a couple of other things. The $1 million plus with Chrysler should – is expected to flow through your financials this year, I assume? And over what period?
Darin McAreavey: Yes. Right now the plan is it's – we carried over a $500,000 contract in 2009. Although we continue to receive orders in 2010, but specific to that $0.5 million contract we received, our plans are to deliver and recognize the revenue in the first half of 2010 as those services are delivered.
Jim Goss – Barrington Research: Okay. And the last thing, you provided a four-quarter restatement for '09 with revenues and earnings in your supplementary data. And the one modification seemed to be the third quarter revenues were notched down by a couple hundred thousand plus and I think a little bit on the net loss as well. What was that related to?
Darin McAreavey: I'd have to look at that. I mean, we haven't adjusted. So I'd have to look at that, Jim. I don't know if you had our final numbers or not. But we'll go back and look at that.
Jim Goss – Barrington Research: All right. We can handle it offline then.
Darin McAreavey: Okay.
Jim Goss – Barrington Research: Okay thanks.
Operator: (Operator Instructions) And it appears there are no further questions at this time. I'd like to turn the call back over to today's speakers for any additional or closing remarks.
Linda Hofflander: Great. Thank you, Anthony. I'd like to thank everyone for his or her participation on today's call. Please remember that today's call has been recorded and will be archived in the Investors section of our website wirelessronin.com. Also, this call will be available for replay. Again, the dial-in information from domestic and international locations can be found on our website. Thank you and good-bye.
Operator: Once again, ladies and gentlemen, this does conclude today's conference call. We thank you for your participation.